Operator: Welcome to the Wynn Resorts' Third Quarter 2024 Earnings Call. All participants are on a listen-only mode until the question-and-answer session of today’s conference. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Cameron-Doe: Thank you, operator and good afternoon, everyone. On the call with me today are Craig Billings; and Brian Gullbrants in Las Vegas. Also on the line are Linda Chen, Frederic Luvisutto, and Jenny Holaday. I want to remind you that we may make forward-looking statements under Safe Harbor Federal Securities laws and those statements may or may not come true. I will now turn the call over to Craig Billings.
Craig Billings: Thanks Julie and good afternoon. As always, thank you for joining us today. It's about a month ago that we had the opportunity to host many of the folks on this call here at Wynn Las Vegas to take you through our business in general and Wynn Al Marjan Island in particular. It was great to see you all, and I hope that our confidence in our current business and in our development pipeline came through. Our leadership position in the world's most attractive gaming markets, our targeted investments in our existing properties, and our development in the UAE all give us great conviction about the future of Wynn Resorts. To that end, we announced that the Board has increased our share repurchase authorization to $1 billion, highlighting our continued commitment to prudently return capital to shareholders. Turning to the quarter and starting in Las Vegas. Demand remained healthy here. And on a normalized basis, revenue was up about 1% and EBITDA was essentially flat year-over-year on very tough comps. Despite those very tough year-over-year comps, we grew hotel revenue by 5%, slot handle by 4%, and continued to see healthy table drop in the casino. More recently, demand has remained healthy in the fourth quarter with strong growth in slot handle, table drop, and solid nongaming demand. Now, Las Vegas year-over-year comps are increasingly challenging and I have said many times on these calls, trees don't grow to the sky. But demand from the high-end consumer remains stable and with $950 million of trailing 12-month EBITDA on around $5 billion of capital in the ground between Wynn and Encore, we're extremely pleased with the performance of our business here. Looking ahead, our luxury positioning and unique programming continue to appeal to the market's most affluent and therefore, most resilient customers, positioning us well to continue our leadership on the strip as we move into 2025. Turning to Boston, Encore generated $63 million of EBITDAR, up 4% year-on-year during the quarter. Demand was strong across the business with slot handle up 3%, table drop up 1%, and non-gaming revenue up 2%. More recently, demand has remained healthy through October, led by strong year-on-year growth in slot handle and stable non-gaming revenue against another tough comp. Turning to Macau, we generated $263 million of EBITDA during the third quarter, up 3% year-on-year. Demand remained healthy with operating revenue growing 6%, led by 10% year-on-year growth in combined mass table and slot win. While the competitive environment in Macau is clearly intense, we continue to focus on maximizing EBITDA rather than purely market share. To that end, we have several initiatives in place that focus on our natural product and service leadership that we expect will support and drive market share in 2025 and beyond. First, we continue to elevate our food and beverage programming with innovative new concepts, including four recently renovated and reimagined venues at Wynn Palace, the recently opened Drunken Fish at Wynn Macau, and the mid-2025 opening of our destination food hall at Wynn Palace. At casino, we are currently revitalizing and expanding the Chairman's Club, our most exclusive gaming area at Wynn Macau, and in the design phase for a similar expansion and renovation of the Chairman's Club at Wynn Palace. We are supporting these CapEx efforts with continued improvements to our recently enhanced loyalty program and our Only at Wynn events and experiences across culinary, music, entertainment, and sports. Longer term, our concession-related CapEx, including an event center and a production show, will support visitation and ultimately, drive share gains in a market where unique experiences are increasingly appealing to guests. We've seen the current competitive dynamic in Macau before, and we are confident that continued investment in our market-leading assets and 5-star service position us well to effectively compete profitably over time. More recently, October was characterized by healthy mass table drop, strong direct VIP turnover, and 99% hotel occupancy. We saw particular strength during the Golden Week holiday period where mass table drop increased almost 30% compared to last year's Golden Week. Our long-term outlook in Macau remains decidedly bullish. On the development front in Macau, we continue to advance design work on our event center and production show for Wynn Palace. In fact, I was in Shanghai two weeks ago reviewing initial rehearsals for our production show, and I was very pleased with the early work on the production. Turning to Wynn Al Marjan Island in the UAE. We were honored to receive the first land-based gaming license issued by the GCGRA back in early October. And as I mentioned, we were delighted to share more details about the development at our Analyst and Investor Update Meeting here in Las Vegas a few weeks ago. Construction is rapidly progressing on the project with work now reaching the 24th floor of the hotel tower and over 3.6 million square feet of concrete and steel now in place. As we discussed at our update several weeks ago, we believe the UAE will be a $3 billion to $5 billion gaming market and certainly the most exciting new market for our industry in decades. I remain incredibly bullish about the future of our company. We have the best assets in the world's premier gaming markets, and our team is the most dedicated team in the business. We are investing for long-term growth with an exciting high ROI development in the UAE well underway, which is unique in our industry. Outside of the UAE, we are exploring potential greenfield opportunities in attractive gateway cities, and we have strategic land banks in each of our markets that provide additional development opportunities over time. Meanwhile, our leverage profile continues to improve as free cash flow grows, allowing us to increase the return of capital to shareholders through the recurring dividend and opportunistic share repurchases. Our best days lie ahead. With that, I will now turn it over to Julie to run through some additional details on the quarter. Julie?
Julie Cameron-Doe: Thank you, Craig. At Wynn Las Vegas, we generated $202.7 million in adjusted property EBITDA on $607.2 million of operating revenue during the quarter, delivering an EBITDA margin of 33.4%. As Craig noted, on a normalized basis, EBITDA was essentially flat year-on-year with lower-than-normal table games hold negatively impacting EBITDA by around $2 million in Q3 2024 and higher-than-normal hold positively impacting EBITDA to the tune of $12 million in the prior year quarter. OpEx, excluding gaming tax per day, was $4.2 million in Q3 2024, up 2% compared to $4.1 million in the prior year period. The Las Vegas team continues to exercise strong cost management without impacting the guest experience. Turning to Boston, we generated adjusted property EBITDA of $63 million, up 4% year-on-year on revenue of $214.1 million with an EBITDA margin of 29.4%. We've stayed very disciplined on the cost side with OpEx per day of $1.14 million, up less than 1% year-on-year and down slightly sequentially. The Boston team has also done a great job mitigating union-related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience. Our Macau operations delivered adjusted property EBITDA of $262.9 million in the quarter on $871.7 million of operating revenue with table games hold in the normal range during the quarter. EBITDA margin was 30.2% in the quarter, an increase of 210 basis points relative to Q3 2019. OpEx, excluding gaming tax, was approximately $2.55 million per day in Q3, up 7% year-on-year, primarily reflecting higher payroll and higher variable costs on increased business volumes, but flat on a sequential basis. The team has done a great job staying disciplined on costs and we remain well-positioned to drive strong operating leverage as the market continues to grow over time. In terms of CapEx in Macau, we're currently advancing through the design and planning stages on several of our concession commitments. And as we noted in the past few quarters, these projects require a number of government approvals, creating a wide range of potential CapEx outcomes in the near-term. As such, we now expect CapEx related to our concession commitments to range between $350 million to $425 million in total between 2024 and the end of 2025. Moving on to the balance sheet. Our liquidity position remains very strong with global cash and revolver availability of $3.5 billion as of September 30th. This was comprised of $1.7 billion of total cash and available liquidity in Macau and $1.8 billion in the U.S. The past few months have been active from a balance sheet perspective as we continue to extend our debt maturity profile and improve our leverage position. In fact, pro forma for a few transactions completed in early October, we've reduced gross debt by $1.2 billion year-on-year, resulting in approximately $70 million of annualized interest expense savings. The combination of strong performance in each of our markets globally with our properties generating nearly $2.4 billion of trailing 12-month property EBITDA, together with our robust cash position creates a very healthy consolidated net leverage ratio of just over 4 times. Our strong free cash flow and liquidity profile allows us to reduce leverage while returning capital to shareholders. To that end, the Wynn Resorts Board approved a cash dividend of $0.25 per share payable on November 27th, 2024, to stockholders of record as of November 15th, 2024. We also opportunistically repurchased just under 1.5 million shares for $118 million during the quarter. And as Craig noted, the Board recently approved an increase of our share repurchase authorization to $1 billion, highlighting our continued commitment to prudently returning capital to shareholders. Finally, our CapEx in the quarter was $101 million, primarily related to the villa renovations and food and beverage enhancements at Wynn Las Vegas, concession-related CapEx in Macau, and normal course maintenance across the business. Additionally, we contributed $18.2 million of equity to the Wynn Al Marjan Island project during the quarter, bringing our total equity contribution to-date to $532.6 million. We estimate our remaining 40% pro rata share of the required equity is approximately $800 million to $875 million, fully loaded for capitalized interest fees and certain improvements on the Island. Importantly, we've also made meaningful progress on the debt financing for the project with significant interest from a diverse group of banks, both locally in the region as well as internationally. We expect the financing will be completed later this year, and we will update you in due course. With that, we will now open up the call to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Carlo Santarelli from Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey Craig, Julie, everyone. Craig maybe if you could start just kind of outlining as you look out to 2025 across the regions, some of the required revenue perhaps to maintain margins, what were some of the cost increases that you guys are kind of forecasting for [Technical Difficulty] within your control at this point?
Craig Billings: Sure, Carlo. You chopped up for a second there, but I got gist to your question. So, I guess, first, with the overriding statement that as we've said many, many times before, we don't manage to a margin, we aggressively manage revenues, and we aggressively manage costs, always taking the brands into account. I think if you look across -- if you look across the two primary markets or today's markets, Vegas and Macau, in Vegas, the high-end consumer -- our consumer continues to hold up. We are facing incredibly tough comps, which we've been pointing out quarter-after-quarter on these calls. We've lapped the largest of the union payroll increases. And so while there is a little bit of wage pressure, it's nothing significant. So, I guess 2025 in Vegas is really all about demand and everything that we see now indicates that we're in pretty good stead. I mean, geez, our retail lease revenue which is heavily tied to luxury retail was up 3.5% year-over-year in Q3. So, we continue to see a strong consumer here, which gives us comfort in revenues, but not comps because, again, the comps are getting tougher and tougher and that is what it is. But we feel good about it here. In Macau, Q3 was a little bit unique from a margin since you were focused on margin -- from a margin perspective. Our market share was stable sequentially, but GGR was down because market GGR was down quarter-over-quarter, I'm talking about now. Second, we had higher VIP commissions in the quarter because VIP turnover was up even though VIP GGR was flat. Third, retail revenue declined by about $3 million, and then we had an extra day in the quarter, so we had an extra day of OpEx. So, it was a little bit unique in Macau. But in Macau -- and we kept in line, by the way, on a per day basis. So, in Macau, again, I think it really comes down to the competitive nature of the market there and market share versus EBITDA as we set up into to 2025. But again, it looks pretty good. We feel good.
Carlo Santarelli: Great. Thank you. And then if I could, just one follow-up. As you guys -- obviously, Craig, you've talked a lot for several quarters about some of the comp challenges in Las Vegas. To the extent that you can kind of frame the headwind that you guys will kind of be looking at as well to the market in the first quarter from the Super Bowl last year. If you'd be able to put any parameters around that?
Craig Billings: No, we haven't talked about the incremental EBITDA that we experienced with Super Bowl last year and certainly, that a headwind from a comp perspective, but we haven't put out any numbers. Q4 and F1 is actually shaping up quite nicely for us. You can look at our room rates -- our posted published room rates relative to our competitors see that we're pricing at a very significant premium to the rest of the strip. And as we -- I think we said on the last call, although it's a later booking window than last year's F1, we thought we would be in pretty good stead and that’s anyhow it's shaped up.
Carlo Santarelli: Great. Thank you very much.
Operator: Thank you. Next, we'll go to the line of Joe Greff from JPMorgan. Please go ahead.
Joe Greff: Good afternoon everybody. Craig, just starting on Macau. You mentioned or you touched on the competitive environment in Macau and what you're doing to address it with different changes to F&B and venue and loyalty programs and various programming. Does it feel if we look at where the market is today relative to the beginning of the summer that at least competitive pressures vis-à-vis reinvestment market-wide in the business is a little bit better than where it was today versus at the beginning of the summer?
Craig Billings: Yes, stable to slightly better, I guess, I would -- how I would characterize it. But it's still -- it's very competitive.
Joe Greff: Understood. And then just as a follow-up to that. October, obviously was great at the beginning of the month with Golden Week and the subsequent week after. Does the rest of -- since then, does it feel like a normal period? Or does it feel like we're starting to see a little bit improvement in terms of visitation or spend relative to what we saw earlier in the year?
Craig Billings: Well, I think my comments on October from the script stand, we don't tend to provide in-quarter guidance or in-quarter view other than our prepared remarks. And so I guess I would stand by what I said in my prepared remarks, Golden Week was great. And you've seen the rest of the -- you've seen the market-wide October numbers in total. We feel fine with where we are in Macau.
Joe Greff: Thank you.
Operator: Next, we'll go to the line of John DeCree from CBRE. Please go ahead.
John DeCree: Good afternoon everyone. Thanks for taking my question. Craig, I wanted to ask maybe specifically about Wynn Macau where the gaming business there has done quite well, particularly this quarter, I think mass market table drop was up 10%. And so a lot of discussion happens around [Indiscernible], but curious as visitation recovers to Macau, if you could give us any insight or color as to what you're seeing on the peninsula at Wynn Macau?
Craig Billings: Sure. I mean, it's really a testament to our team. If you rewind a year or so ago, the team had identified a number of areas where we could improve the physical experience, the food and beverage experience. Really, again, kind of like I mentioned in my prepared remarks, focus on the things that we are really, really good at that we know drive market share. They identify those, and we've executed those on the -- over the course of the past year or so. It is a fact that the more visitation you have given the transient nature of the downtown customer, that that visitation will disproportionately benefit Wynn Macau. But I would put it much more down to execution and the execution that we have done over the course of the past year.
John DeCree: Thanks Craig. That's helpful. And maybe a follow-up on Las Vegas table drop. I think you've mentioned in your prepared remarks that you're still seeing really healthy trends from the high-end customer, but I think table drop is down a little. One of your peers talked about some big players that maybe didn't show up this quarter and then you mentioned, I think, quarter-to-date in Vegas table drop is up. So, just wondering if you could give us a little bit more color on kind of what you're seeing in the high-end table play if there's kind of been any shift in customer trends from Q-on-Q or anything like that?
Craig Billings: No shifts of significant shifts of note. I guess, let's put it in a historical perspective. If you rewound the clock six, seven, eight years ago in Las Vegas, you had a business that was subject to a lot of volatility from very, very high-end table play. And we've done a lot of very deliberate things over the course of the past X number of years -- the past several years to really grow and diversify our casino business. We still lend a lot of casino market share, and we've dampened the exposure to extreme high-end volatility. And I think it shows in the numbers. But as it relates to any given quarter, sure, you could have one or two people that could impact table drop overall. But that's the beauty of the Las Vegas model, right? It's got diversification. So, hotel revenue up, slot handle up, table drop steady to down a couple of points. It's just -- it's not a broader trend, it's just part and parcel with running the business.
John DeCree: Sounds good. Thanks Craig, really appreciate it.
Craig Billings: Sure.
Operator: Thank you. Next, we'll go to the line of Robin Farley from UBS. Please go ahead.
Robin Farley: Great. Thanks. I guess kind of a follow-up question on -- when you look at the gaming revenue decline in Vegas, was that just more your international VIP play or was there also some domestic sort of difficult comps making domestic gaming revenue down as well?
Craig Billings: Julie, you want to take that?
Julie Cameron-Doe: Sure. Hi Robin, I'm happy to take that. Look, I think when you look at the comps, you really have to take account of hold. So, when you normalize the hold year-over-year, that makes a big difference to that calculation. So, in terms of the applied increase if you think about country revenue of GGR, first normalize the hold. And then bear in mind that our ADRs have increased about 7% year-over-year. So, that meaningfully increases the GAAP cost of the comped hotel rooms that go through that line. So, when you take those two things into account, because we do the analysis all the time, you can really see there's no trend there. It's just a function of hold and higher ADRs?
Craig Billings: Yes, I would just look at drop and handle Robin, I mean drop year-over-year dropped down 4.4%, slot handle up 3.5%. So, the 4.4% is kind of what I was talking about with the last question answer. That can be a couple of people, but it's not really indicative of a broader trend and 3.5% in slots is great. So, we feel great about where the gaming business is here. And again, that high-end consumer continues to hold in there.
Robin Farley: Okay. Thanks. And just as a follow-up. You talked last quarter about your group business increasing, I was wondering if you could sort of give us some outlook for group bookings for Q4 and for next year? And yes, just any comments on that.
Craig Billings: Sure. Happy to. Brian, do you want to take that?
Brian Gullbrants: Sure. Hey, Robin. The outlook for group business remains quite healthy for the remainder of the year. And then we're pacing towards , as we've said before, a record year in room nights for this year at fairly strong ADRs. That's allowed us to build a really solid base for our team to yield manage the rest of the rooms and segments. And in terms of 2025, as we look forward, we get to a point where as you book more and more group rooms, you can really start to crowd out the other valuable business. So, particularly in a year where we'll have around 50,000 room nights out of service next year for our Encore Tower room renovation. So, overall, we expect 2025 to look a lot like 2024 in terms of group room nights, but we'll push on rate as our team knows how to do. So, pacing quite well and pacing like we were this year.
Craig Billings: Looking 2025 looking like 2024 by intention.
Brian Gullbrants: Correct.
Robin Farley: Okay, great. Thank you.
Operator: Thank you. Next, we'll go to the line of Dan Politzer from Wells Fargo. Please go ahead.
Dan Politzer: Hey, good afternoon everyone. You increased your share repurchase authorization this quarter pretty markedly. Can you talk about how you think about capital allocation if you're going to deploy that opportunistically or programmatic or -- and along those lines, how you think about your CapEx needs, both domestically as well as in Macau? Thanks.
Craig Billings: Sure, I'll cover capital allocation theory and then Julie cover CapEx. Opportunistically, tends to be the name of the game for us. We're not programmatic buyers of the stock, and we tend to buy back when we feel like the stock is particularly cheap. So, you saw we purchased $118 million during the quarter. We continue to believe the stock looks attractive at current levels, and that's why raise the authorization. We're always balancing liquidity needs between capital deployment for growth like BAE, debt management. We've been delevering over the course of the past couple of years and then, of course, return capital. Julie, do you want to cover major CapEx?
Julie Cameron-Doe: Sure. And yes, there's not a lot more to add versus what we said in our prepared remarks, really, because we're now covering off on Marjan, but I think we've given really clear numbers on Marjan. From a Vegas perspective, obviously, we're continuing to invest here on maintenance and targeted high-return projects. So, on the project side, as I mentioned, we're renovating the remaining villas now that we've completed the renovation of the spa villas. And we're continuing to enhance the food and beverage program with new offerings. So, we have zero bond we have a restaurant refresh with Fiola Mare, which will be replacing Lakeside. We're also planning to renovate the Encore Tower hotel rooms during 2025. So, we expect total project CapEx for the remainder in Vegas to be in the neighborhood of $300 million. And outside of that, the Vegas normal course maintenance CapEx is $75 million to $85 million. Macau, I think I covered in the prepared remarks, we've taken that range down a little bit. Now, we're getting close we're getting more certainty around numbers and also work close that period as well. So, that range has tightened a little bit on the concession commitments and then the maintenance CapEx in Macau continues to be. Normally, we look at about $75 million for what's going on there.
Dan Politzer: Got it. Thanks. And then just turning to Macau. Wynn Palace, I think the mass gaming volumes or revenues there volumes really were down a touch. Anything that's changed or evolved in terms of the environment on the ground as it relates to that property?
Craig Billings: No, I don't think so. I think it's pretty consistent. All the remarks that we have made throughout the call regarding the state of Macau applied to apply to Wynn Palace. So, no, not really.
Dan Politzer: Thanks so much.
Operator: Thank you. Next, we'll go to the line of Stephen Grambling from Morgan Stanley. Please go ahead.
Stephen Grambling: Hey thanks. Just a couple of follow-ups on Macau as well. First, I think the RevPAR for the hotels were down in both segments. Just curious if there's anything to call out there? And then what are the expectations going forward on the hotel side? And I believe you also started to roll out smart tables early in the quarter. Is there any feedback on smart tables and the potential impact from those as we look into next year?
Craig Billings: Sure. Not much of a read-through on RevPAR because as you know, it's essentially 100% -- close to 100% comp occupancy, and we've been running very, very high occupancy levels, so not much of a read-through there. On the smart table side, you're right, we are in the midst of rolling out smart tables. We've got about a quarter of our tables covered, and we expect it to have full rollout by Chinese New Year 2025. There's clearly benefits with respect to game security, prevention of human error, which talked about before. And then there's a bunch of benefits on the marketing side, primarily due to an abundance of very precise bet-by-bet data. We have a super clear view of how we intend to utilize that data and bring some innovative marketing forward to our customers. We're not -- obviously not going to talk about that on the call. But the real benefits of that require you to be at substantially complete rollout because you need a complete of the customer. So, a little too early to say at this point, but we're on our way.
Stephen Grambling: So, just to clarify, I guess, when is that complete rollout is set now or you need to collect some data for a period of time?
Craig Billings: Next Chinese New Year -- Chinese New Year.
Stephen Grambling: Got it. Okay. Thank you.
Operator: Thank you. Next, we'll go to the line of David Katz from Jefferies. Please go ahead.
David Katz: Hi good evening. Thanks for taking my questions. I'm not sure that there's been -- you've given -- expressed some confidence about Macau, but is there any specific evidence or any impact from the stimulus so far that is discussable in this context? And/or what drives the confidence? Thanks.
Craig Billings: I think it's a little early just say it's having an impact. Demand during October Golden Week was encouraging, as I talked about in my prepared remarks. The -- we were running 99% occupancy. But in the past, and I would encourage you to look probably early 2016 would be the most recent example of that scale. And you'll see that there was a pretty substantial positive impact on both visitation and GGR. But I think it's a bit early at this point to say if anything is testing through Macau.
David Katz: Got it. And if I can ask just one follow-up detail. Along with the buyback, did you indicate whether the quarter ending share count is the same or whether you had acquired any quarter-to-date sort of post the end of the quarter?
Craig Billings: I did not comment on the month of October or the first few days in November.
David Katz: Okay. Thank you.
Julie Cameron-Doe: Thanks, David. Operator, we'll take one more caller.
Operator: Thank you. And our final question comes from the line of Brandt Montour from Barclays. Please go ahead.
Brandt Montour: Good evening everybody and afternoon. Thanks for taking my question. I think Macau CapEx guidance, went down from the prior range. And I guess it was just more of a wider guess of it before, but it's unusual, we see CapEx expectations moving in that direction. Can you just comment on sort of what changed if you can from a competitive standpoint?
Julie Cameron-Doe: Sure. And actually, Brandt, nothing's really changed from -- in terms of the competitive standpoint. Really, this is more about timing. We've made very certain commitments under our concession to the full CapEx and this is really about the timing of getting it done. And other I've mentioned, I think I'm using the same words every quarter about we're dependent on a number of approvals, the land use, in particular, and we don't have control over those. So, that drives quite a wide range of outcomes in terms of CapEx. And we've been saying that for a while, and I'm talking about how much through the remainder of 2024 and 2025. And as we're getting closer to the end of that period, we've just tightened up that range. So, nothing more to say than that. I just seemed unlikely that we were going to be able to get everything done in that time by the end of 2025, given where we're at currently.
Brandt Montour: Okay. Thanks for that. And then just a quick unrelated follow-up on the New York licensure process, if you have any thoughts on that? And specifically, with regards to one of your competitors making a comment about having some hesitation around iGaming legislation? And if that has something that you guys weigh as well when you think about that opportunity?
Craig Billings: Yes, we sure do. I heard about the comments that you referenced. And in fact, I posted about subject on LinkedIn back in March, I believe it was. First -- look, I understand the desire for states to generate taxes quickly from online gaming, but there's very serious implications. Honestly, primarily on the folks who -- everyday folks who work in land-based gaming in resorts, resulting from any revenue declines due to cannibalization from online game. And a 15% revenue decline is half your margin. So, you're not going to employ nearly as many people to the extent that you're being affected by online game. Second, there's the potential for longer term regulatory blowback and I think that's real. As we've seen in markets around the world, look at Australia, I worked in the gaming market in Australia for a number of years. And when gaming proliferates to a certain point, there's societal and regulatory blowback. So, yes, I think it's an issue. And then layer on top of that, the fact that you're talking about deploying billions of dollars of capital and employing thousands of people, yes, it has to be something that you -- so a long answer, but yes, we're watching it.
Brandt Montour: Okay. Thanks for your thoughts.
Julie Cameron-Doe: Well, thank you, Brandt, and thank you, everybody. With that, we'll now close the call. We appreciate your interest in Wynn Resorts, and we look forward to talking to you again next quarter.
Operator: Thank you all for participating in the Wynn Resorts third quarter 2024 earnings call. That concludes today's conference. Please disconnect at this time and have a wonderful rest of your day.